Operator: Good morning or good afternoon and welcome to Vestas' first quarter result for 2010, here are the Four Seasons Hotel in New York. Special welcome to press and analysts in the room and everybody else who have decided to join us for this today and not least, all of my colleagues at Vestas watching this. The presentation today, we have decided to call Products and Presence because we believe these are some of the very important features that one needs to be aware of, when looking at Vestas in total and the industry in total and not just on the first quarter 2010 in itself. Apart from this, we obviously also are going to focus on the Triple 15 aspirations from Vestas and how things are progressing along those lines and the last item that I would just like to highlight here on the first slide, is what it says under the Vestas logo, namely Wind, It Means The World To Us and we will come back and talk about this as well a little later on. Before going in to the actual figures, let me just start by saying that obviously 48 hours ago was a important day for all of us at Vestas as we signed our largest order ever. To quote what was said in our customer EDPR's release was that this was a demanding, competitive process and that Vestas was selected among other major wind turbine manufacturers around the world as the only best in class supplier of wind technology for the full tender. The differentiating factor has been the company's ability to provide the best global value to fit EDPR's short and medium-term strategic business goals. This obviously has a lot to do with the products and presence as I just mentioned in the beginning and something we will talk a little more about later on in this presentation. As ever, just like to try to highlight what are the main developments that we are seeing at Vestas and try to put this together in one slide. First, our vision wind, oil and gas we still believe are still very much on track. Knowing that wind constituted a huge amount of the newly installed capacity for electricity generation in the world, actually in the EU the largest in 2009 and also here in the US and we are seeing similar development around the world, how important wind is going to be for the future electricity generation. All of this supporting our aspirations for the Triple 15 plan. We are also seeing some interesting development when it comes to China and issue, we’ll talk about little later and the fact that Vestas is now reserving all our Chinese manufacturing capacity for serving the Chinese market, as we are seeing very positive development for our business out there. We’re also today increasing our investment program with an additional €400 million and in the same time creating another 3,400 new jobs in this year along. This might all seeing a little as a paradox, when we at the same time here in Q1 are reporting both earnings and revenues, which are unsatisfactory but on the other as expected due to the challenges that we saw last year. The net working capital is of course therefore also reflecting this, should we call it 2009 industry sentiment. The fact that we are talking about in our view something which is very important on the presence is looking at actually how the year 2009 ended for Vestas looking at the ten largest markets in the world. Vestas is, in top three in nine of the ten largest markets and this obviously further underscores what we talk and we make sure the Vestas can deliver the requirements wherever they are on the planet. The only market where we are not a number one, two, or three spot is in China but as I just said we will come back and talk about Vestas in China a little later in this presentation. The first question, talking about the year 2010 is what is it that we were looking into already back in 2009 and as we reported in connection with the Q4 and full year expectations or the full year results in 2009 we said that even after another record breaking year it is not the time to celebrate. We all know that at Vestas because 2010 will be a challenging year, but we are ready to tackle such challenges, actually more ready than ever before. Therefore what we are seeing in the Q1 today hopefully is not the biggest surprise, as we knew already back in 2009, that this would be some of the consequences for the slowdown in the order intake last year. So I guessed through the relevant question is to ask oneself, what actually happened. If we look back at the previous Q1, suppose on revenue, on the left hand side of the slide, but also on EBIT, you will see that we are for the first time going down with a deficit, in the first quarter, 2010. But as I said in the beginning, this is really the consequence of the challenging year, 2009. It is also important to remember that looking at the sentiment in the market, there is a price to pay in order to capture the upside and we therefore decided that Vestas, with that we would use this quarter for preparing the organization for our made to order concepts. We would use the quarter for making sure that we are ready to capture the upside and therefore we did not cut down on the organization, but basically decided to use this quarter for other preparations for the future. So, when the activity level is at this level, this is let say the investments we have done in making sure that we can participate in the expected upturn in the market. But of course and there should be no excuse, its not nice to report with a deficit for the first time in a number of years, but unfortunately the year 2009 was on the other hand not a normal year. Turning to the balance sheet, since we met last time in connection with Q4 that were a lot of discussions concerning bond and issue of bonds, concerning Vestas and a few weeks after, we reported on Q4 we launched a Euro Bond of €600 million and we were happy to see that this bond was actually three-times over subscribed meaning that we could have issued substantially more would we have wanted to do so, but we start with the 600 and we are also happy to see the trading of the bond subsequent to that has gone pretty well. Despite the deficit, we are reporting in the first quarter Vestas still stands with the solvency ratio of 50% compared to 37% 12 months ago and of course we are seeing an impact on the balance sheet due to these, I would say abnormal first quarter result, but still a very robust balance sheet. This of course also has an impact on our net working capital. The inventories still in our opinion too high even though that they are lower compared to the same period last year, but a big increase in receivables, which is due to the fact that we had such a big Q4 2009 that we were executing and prepayment from customers going down is not a consequence of changes in the payment structure and the contracts but rather as a consequence that the order backlog has been going down which obviously affect the prepayment from customers. Trade payables, fortunately moving in the right direction but again of course a consequence as well that we have had a low activity level in this quarter and at the same time therefore have not been having the same inflow of components even though we actually have paid out a substantial amount of money because of the high level in Q4 2009. It brings a net working capital of 21% for the quarter compared to 8% at the same time last year but as I have said already, these are the consequences of the challenging year 2009 when it came to the orders. This obviously also has impacted the cash flow and without going through each of the items, just to say that Vestas has maintained our investment activities despite this and that we keep on moving along the plans that we have laid out for the year 2010. Despite obviously that the cash flow is also being hurt by the low activity level in the first quarter but again in order to capture the upside then this is necessary. Apart from the financial figures, we obviously are also reporting on the non-financials and Vestas is making a strong progress when it comes to industrial injuries, which have improved by 66% compared to the same time last year down to 4.4 accidents per one million working hour and of course obviously even the activity level has been low and the plants it's important to remember that the installation business is still being quite busy. Anyway and this is obviously is important focus point for us as it is for our customers. Turning to our amount of renewable energy and renewable electricity, we're here also seeing quite a strong progress compared to Q1 last year and we are also now reporting on diversity, where there is slight progress both Women at management level but also in non Danes at management level. Talking about the all important orders and the future looking ahead beyond this first quarter, let me start by saying that when we last quarter announced the order intake of 8000 to 9000 megawatts its important to have a view on how have we than progressed. Well, if you look at this slide, then Q1 2009 was obviously a very low quarter when it came to the order intake and if you compare this to Q1 2010 there’s obviously been a significant improvement from 458 megawatts to 1258. Then I would say the month of April has been quite special as per today have announce orders around 2000 megawatts bringing us to a total 3200, which obviously compared to the target of 8 to 9 means that we are well on track towards reaching this important milestone for us in this year. Then actually looking and how this has developed, I think it’s important to spend a little time just looking at this specific slide. If we go back to Q2 2008 where the order backlog stood at €7.2 billion we have seen a steady sliding of the order backlog and this was of course exactly here when in September 2008 the financial crisis decided to take its toll, also on our markets and it is not until here Q1, 2010, that we are seeing, is going in the right direction again and if we add the megawatts, we have got in at the month of April we are obviously seeing a huge jump forward compared to where we were some quarters ago, and coming back to a more normalized level. I would say we are seeing here that the tide is turning after some, of course challenging quarters when it comes to the order intake but on the other hand this is also what we are preparing for in our future plans that we are seeing the market picking up again for Vestas and thereby also that this in our view a turning point from what obviously had been challenging in the last number of quarters. This also means looking at the guidance for the year 2010, that we basically have no changes through the expectations for 2010, despite the challenging first quarter, i.e. revenues of €7billion of which service expects to constitute €600milllion and an EBIT margin of 10 to 11 and I hope most people can remember that, what we have said, that we will see a year 2010, which is heavily bag-end loaded both on revenues and earnings and I think this is also what we are reconfirming today. Despite the fact that we have a deficit on the earnings in this quarter, we have decided to increase the investment quiet significantly, with €400 million as you can see here and that is the only changes to the guidance and I will come back in the second of why we have decided to do that, but we are keep on ramping up towards our year end capacity of 10,000 megawatt, making sure that we are in the region, for the region wherever we are in the globe, which we know is very important for our customers and it is important for Vestas to maintain our competitiveness. Everything else on these matters are unchanged both on warranties, net working capital etcetera compared to previous guidance. So, the big investments that we are now further ramping up today what are they going to support. The V112-3.0 megawatt machine we intend to introduce faster and in larger volumes than we initially anticipated and therefore we need to put in additional investments for ramping up for this new platform and the majority of the investments will go to support this. Since we are in United States today, I’m also happy to say that we have decided to build a new service and maintenance center in Colorado and I will talk a little later on, of our activities in the US, but to further support our global service business, where we are also seeing a nice progress on the service compared to what we experienced just a few years ago and we therefore further want to support this with the new service and maintenance center in the US like the one that we are in the process of constructing in Europe, in Spain. Sometimes these messages may sound a bit like a paradox. We had the best Q1 ever in 2009 and we came out with a strong backlog, with record earnings and revenues and maybe some people can remember that at the same day we announced that we unfortunately we had to layoff nearly 1600 good colleagues of ours in Europe, while we came out with very strong quarter. Then to put this in to perspective, we are today coming out which for sure is a very low Q1 both in terms of revenues and earnings and we are then at the same time now saying we will hire another 3,400 and this of course all to do with the expectations that we see in the market and how we see this evolving and if you look back to the order backlog slide that I just showed you, I think there were unfortunately a lot of good reasons for reducing this capacity back in 2009 as we hope is a very good reason for increasing the capacity and thereby creating a lot of new jobs with what we are looking into going forward, which in total would mean that by the end of this year, Vestas will have approximately 24,000 colleagues working around the world. This has to, as I said, to be done on a global scale. I am talking about the order intake and where its going to come from, then the distribution of the markets is still maintained from previous mentioning, i.e., that we do expect that the 8,000 to 9,000 megawatt, half of them approximately coming from Europe, 30% of them from the Americas and 20% from the Asia-Pacific region and there is no change to this compared to previous guidance. I said in the beginning that the order intake that of course is so crucial, it has to be secured by first and foremost two things. Vestas products and services; and Vestas presence. As I also mentioned the deal signed with EDPR, the day before yesterday, in our view was a clear illustration of just that. So let’s try and look a little more into this as it is important to understand in order to look at the expected order intake for the year. One, two or three, in nine of the ten largest market but not in China, where we in fact are the largest non-Chinese organization in China. But looking at the fact that we are now progressing so well in China, where does this come from and how is it now that we are seeing this change? Well, back in 1986, we installed the first wind turbine in China and we were active in the market for a number of years, but in 2005 we took the decision that Vestas wanted to pledge a serious commitment to be in the region for the region and develop a local supply chain and build a number of factories to make sure that we could satisfy the need of our Chinese customers both in terms of business case certainly the lowest cost of energy and easy to work with, a prerequisite for China as it is for any of our other markets. Then thanks to this efforts over a number of years we are therefore pleased to say today that the capacity we build up in China was really for not only for China but also to support our aspiration in the rest of the Asia-Pacific region. But due to the demand in China now we have to decide that that all the manufacturing capacity we do have in China will be reserved for domestic demand. As we are seeing as I said a very strong progress in China. So we have started to capitalize on the long-term relationship that we have developed over a number of years. Then in the region for the region, as you can see on this slide means that whether we talk about assembly machining generators, plates, controls, foundries, sourcing, sales and HQ etcetera. We are well represented throughout the country and we have also decided with the kilowatt manufacturing that we have in Inner Mongoliai and Hohhot to turn this in to a pure kilowatt production of both our V52 platfrom but also our V60 platform and reserve the Tianjin manufacturing purely for our megawatt production in order to satisfy the needs of the market. These obviously have been big investments that we have carried where we are now staring to harvest the benefit of having this approach in the region for the region and making sure that Vestas is competitive in all aspects when its comes to service one of the largest markets and in fact the largest market in all section in 2009. Being in the U.S. today, we basically have had the same approach, in the region, for the region. We have been building outsourcing in Chicago. There are factories, first and foremost in Colorado, both for the sales, plates, towers, service and maintenance we announcing today. We have R&D facilities in Houston, Texas and Boston, Massachusetts, and also in Brighton, Colorado. All, we are running of course together with our sales and main office in Portland, Oregon. The approach on, in the region, for the region as important for us in the U.S. as it has been in China and therefore we do expect to go from approximately 2,000 colleagues today up to 4,000 in the coming 12 months. This will mean that we will have exactly the same local presence to service the need of our customers in what we believe is going to be the fast growing U.S. market. Had we not taken these decisions to be in the region, for the region, I am absolutely confident that it would have been very difficult to secure an order like we did the other day with EDPR and this is exactly what is insuring Vestas' global competitiveness. So global presence really secures this local competitiveness and we of course have had this in Europe for a number of years and we are therefore not surprised to see that some of our colleagues in the business are now ramping up in Europe, as I think that they tend to agree with us that this is the only way that you become and remain a major player in this industry by having this kind of focus, like what we have had in building up 10,000 megawatts of capacity. But it is not just about the presence, it is also about the services and the products that we offer, and looking at the demand of the Vestas' clients, whether it is on the kilowatt platform, 2 megawatts , 3 megawatts, going forward on the onshore of 6 megawatt. We do believe that we have a complete product program. In fact we are seeing a clear tendency that we are moving more in not just to turbines, but to wind power plants whether high wind or low wind onshore and offshore. Vestas complete product program ensures that we are capable of servicing in whatever wind machine and make sure that we can live up to the customers’ expectations for power generation. Then with the V112-3.0 megawatt machine, which we are now releasing for sale by the end of August both on and offshore, we will see a further strengthening of Vestas competitiveness on the future market demands. We have been delighted to see the interest that we have received from our clients in this platform and therefore of course an important message to send today that by the end of august we are ready to sign off the orders and everything is running according to plan and this will again be further illustration of how we are going to get to the 8000, 9000 megawatts for the total order intake in the year 2010. Our industry is sometimes I would say being followed by a lot of people and we are highly appreciate of this, but we also see that the way that industry is moving and let say the technological opportunities and challenges and the understanding of the wind power economics is something where we need to be even better in explaining of the value proposition that we feel that we at Vestas. Therefore I hope that press analysts investors that would like to join us on the 1st and 2nd of September 2010, in Colorado, United States, where we would like to take you through our complete new setup. We will also like to take this through as this coincide with the release for sale of the V112 platform and we will tell you much more in detail about the competitiveness of this and at the same time use the opportunity to tell you more directly, not just from me, but from members of the management and the so called Vestas government about how we see the development in our markets around the world and spend two days with us on our bi-annual capital markets day and it will be, as I said, in Colorado, September 1 and 2. The Triple15, which was launched actually half a year ago, here in New York have obviously over the last six months, received a lot of questions, comments, why and why not. But our commitment to an EBIT margin of 15%, revenues of 15 billion Euros, latest in 2015 still stands, despite the challenging world that we see around us. Then why is it so important to come with such a message? Because its important to note that Vestas is thinking very much long term, medium term and short term in our strategic planning. Therefore we feel it’s important that all of our colleagues at Vestas are fully aware where we are moving and also that our shareholders and other interests have an idea of where is it that we want to move Vestas in the coming years. I fully recognize that if you compare this to expected revenue of 7 billion Euros in 2010, it looks obviously like a huge challenge. But if one look at the estimated market growth, latest report is by BTM about the compound average growth rate, i.e., how much the market in the installed capacity is expected to grow then you have this figure is coming into the region in Americas of 25, Europe 17 and Asia-Pacific 29. Then this means that there should be approximately 287,000 megawatt installed in this market over the next five years. Our growth rates in TRIPLE 15 actually is around 16% to 17%. Meaning that, in order to execute and meet the future market growth and demand we need to put this kind of challenges on ourselves in order to live up and in order to fulfill the expected market growth. In the presentation today, we talk about Americas and we talk about China and the U.S., but let me also say that when we come to the Q2, we will talk much more about Europe because that is when the EU has to deliver the goals and target for the 20-20 aspiration for each of the European members states and therefore that of course will have significant, let's say, presence when we are reporting on this in Q2. Looking at Vestas in general and the risk associated with us. There are obviously a lot in the macroeconomics and Vestas is of course part of the rest of the financing situation in the world and all the regulatory issues and these risks are of course as relevant for us as they are for any other organization operating in today’s market. But compared to the other risks that we normally always highlight, I would just like to highlight one and that is on the raw materials as we have started to see that the cost of raw materials are going up both on steel, copper and others. Not that we expect this to impact our 2010 development but definitely we are starting to see movement in raw materials and just to make people aware of this. I said in the beginning that we had a small statement which was wind, it means the world us and in the future, in the communication universe for Vestas you will meet this again and again and again. The reason why we would like to make sure that this tag line is being now further enforced is because we believe it has two very important messages. It has a very important message through the outside world what wind actually can do for all of us, wherever we are in the world, but also that we at Vestas as a pure play focused company on wind, how dedicated we are to this industry and further development of it. We don’t need to say that we probably have been one of the creators if not the creator of this industry and therefore our passion for keeping on developing Vestas in the wind sector is extremely strong. So, you can take this as an outside in, as an inside out, on exactly how you are going to meet Vestas in the communication universe going forward and also through; let’s say show everybody what is the true values of what is driving us on our daily or in our daily business. To try to sum it up, what I just said, we still feel that despite Q1, its full win ahead sort of say. 2010 will be heavily backend loaded as mentioned already back in Q3 last year both in terms of revenues and earnings. We are due to the possibilities in the market increasing the investment substantially. We put job creation back on the track and especially here in the United States with additional 3,400 jobs to be created predominantly here and in R&D and that China, the capacity for China is now being reserved in order to cater for the development over them. Next time we are going to report, will be in London in connection with Q2 on the 18th of August, I will be back here on the 26th of October, reporting on Q3 in New York, as well as our expectations for 2011 and as ever if you are interested in reading and learning more about what’s going on in Vestas you will find our magazines Vestas Inside and other articles, where you can learn more about what's going on and what activities we have undergoing. With this I suggest we turn in to the regular Q&A session first in the room and later on, we will take the conference calls and as ever please two questions and state your name and I think we have a microphone out there.
Stig Frederiksen - ABG Sundal Collier: Stig Frederiksen from ABG Sundal Collier. Regarding the V112, you're stating that you're seeing faster introduction and higher volumes coming up on this new V112. Could you reflect a bit about, which market do you see that and does that have any relation to the EDPR order the other day? Then secondly, you talked a lot about the high efficiency on this one. Do you think that prices will reflect that, when you introduce this one, the clients will be willing to pay for the higher output from this turbine?
Ditlev Engel: I think it’s important to say that the V112 is more about wind classes than it is about countries because it is for the low and medium wind size and that is 75% of all the wind resources in the world, which is in this category. So, we it is real and will be truly global machine therefore we will also produce it globally. The way that we work with things at Vestas is obviously, when you put a machine out for marketing gives an indication of the interest in the platform from our customers and we are very happy to see the interest in the market of using the V112 and therefore we have decided to ramp up our facilities to make sure we can cater for this expected demand. When it comes to the performance and when it comes to the economics of the machine, it is of course clear that getting to the TRIPLE 15 aspirations as we have said on numerous occasions, one had to remember that where Vestas is today, has all been on the existing platforms. So, moving up towards a TRIPLE 15 aspirations on earnings of 15% has to be driven also very much by new technology and the V112 forms a very important platform in this and therefore we hope and expect that it will be a good machine, also financially both for us as it will be for our clients as we do believe that it will have a cutting edge competitiveness in the market in these wind machines. So, yes, it hopefully will be financially also interesting for both parties.
Rupesh Madlani - Barclays Capital: Rupesh Madlani from Barclays Capital. Could you comment on the confidence levels you have for securing additional orders for the rest of the year and also how many 1 gigawatt-plus orders you anticipate? Second, could you comment on your expectation for pricing and pre-payment levels for the rest of the year and to the extent that you wish to discuss, perhaps the main characteristics of the EDPR deal?
Ditlev Engel: Let me start from the last question. On the EDPR, I think its in both company's releases on Monday, clear exactly how far we are expecting to go on commenting on the deal. So, I think you will have to live with what's in the two announcements. Talking about the pricing in general, we have said all the time, that the key issue is really whether you can deliver the right business case certainty over the lifetime and can stand out for this. Therefore, talking about the products and the presence, is actually meaning that the business case certainty and thereby the yield that the customers are getting is much more important than some discounts on the machines. As when we talk about the terms and conditions therefore, we have not made any significant changes to this. When I was here last time there was a lot of questions about the United States and the US market, the so called gray market and we made it clear that Vestas did not want to participate in that. Obviously, one of the consequences of this is what we see in the first quarter with the very low activity level. However, changing the conditions in the market we didn’t feel would be the right thing to do, but instead focusing on the value proposition that we do have to the market. Concerning orders above 1 gigawatt I think you should know us better than that by now that we only comment on from an unconditional orders and not while we are discussing. I will however, say that as I also mentioned on Monday on the EDPR deal that looking at the growth aspiration I was just mentioned in the coming years, it is clear that many of the major utilities are now thinking how are they going to make wind part of their portfolios and therefore in which way is that going to play in. If we did not have this belief that we would see this kind of development we would obviously not today release the amount of investment that we are doing as we actually for instance in the US are putting in capacity in the magnitude of 3000 megawatts on a yearly basis, which is obviously a huge capacity to cater) for this market.
Rupesh Madlani - Barclays Capital: Just to, perhaps, follow up, with respect to component price increases, do you believe that could actually lead to some overall price increases going into next year, given how the indexation works?
Ditlev Engel: I think there is obviously these days there is a lot uncertainly in the market because of what’s going on many fronts, but at least what we have experienced in the last few months is and more upward trend as I mentioned on the materials and thereby also on the components and that obviously will also could go in an impact the cost of the machines to which level. We will have to see how the development is, but we all know that back in the first half of 2008, we were at completely different level, has come down. Our view is that like what we have friends, who have seen on the cost of oil or gas or whatever, we have been down on an artificial level and we are now starting to move up again and that is therefore in our mind maybe not so unexpected that this is going to happen, but to how bad it is going to be? We will have to wait and see, but it could be a consequence.
Josh Shaver - SAC: [Josh Shaver] from [SAC]. A quick question, when you look at the US environment particularly on what's coming out of Washington with the Kerry, Graham, and Lieberman bill and some of the setbacks that might be happening there. How might your business or your planning change in the US if you don't have, if a national, let's say, RES or a clean energy standard, doesn't come out of the US? That's the first question. Then on the second question, if nothing does come out from Washington with respect to a climate or an energy bill with an RES. Do you think with the EPA and possible regulation of carbon at some point in the future, that that might be of a benefit to the business?
Ditlev Engel: Of course its very difficult to know exactly what’s going to happen on these bills and of course we follow this, as we just mentioned what was going on at the moment., I think that the energy challenges that the world has is pretty evident and the fact that we are now starting to see and people are forecasting the oil bag at $100 per barrel soon, is going to bring the whole energy discussion back into question again, about how do we reduce its whole energy cost for the country. Adding to this they are obviously the renewable energy standards, there are the activities from the EPA that you mentioned and I think that there are lot of things pointing in this direction. I was just this morning listening to about population in American cities and some of the challenges this is causing. So, I think the fact that we can provide actually on long-term basis a cheaper, cleaner and domestic fuel. I think has an interest on both sides of the isle and therefore I would say what happens in Washington we will see. We still have a lot of RPSs, renewable portfolio standards in place in many of the states and we are seeing a very different activity level right now in the US then we did for instance 12 months ago. With the ITC grant in place, with the PTC in place I think we really feel confident otherwise we would not increase number of colleagues over here now and release those if you didn’t see a complete different activity levels. So, you will be as good as I’m in guessing what will happen in DC on this, but I think the other fundamentals are important to remember as well and again we are delighted to see the increase in activity level and (inaudible) to see we started to announce orders in the US again, where as we in 2009 had no orders in United States, which was pretty challenging taking in to account that in 2006, 2007, 2008 that was our largest market and again and another reason why we are seeing this Q1 that we are seeing now.
John Segrich - Gabelli & Company: Hi, it's Jon Segrich from Gabelli. I'm just wondering if you could help us understand what you think the cadence of your business is going to look like obviously, first quarter revenue is low. You've got 7,000 to hit for the full year. How should we think about the ramp and also is there going to be a difference do you think between, let's say, a front half that's going to be maybe very supply only and maybe a second half, where you then have percentage of completion revenue, which helps you get to that 7,000 or what's driving the significant ramp?
Ditlev Engel: Of course the type of contracts that we are talking about here, we have taken in to account and how they are going to impact the earnings and the revenues, when we say that we are going to see in 2010, which is heavily backend loaded both in terms of revenues and earnings and this is of course something that we keep following up on to make sure where are the projects and when are they going to go into revenue or when are they going to go into earnings. The best reply I can give to you is obviously that this has been embedded in the guidance already, depending on the projects that we know and what type of contract they are and how this is going to affect our P&L for 2010. So, basically I would say the only change we are seeing in the market and the type of contracts is that the customers tend to favor more and more turnkey projects. Also, the bank seems to be of this opinion, in order to mitigate the risk, i.e. that there is one party being responsible for the whole installation and this is fine with us and again, the expected turnkey projects that we are looking at is of course therefore also embedded in the revenue guidance. But we are seeing maybe a more tendency towards this compared to the past. One more question there, then we will go to the telephone.
Henrik Simonsen - SEB Enskilda: Henrik Simonsen from SEB Enskilda. Just two very quick ones. Order intake guidance, 8 gigawatts to 9 gigawatts for this year. Does the EDPR order and what you say is a faster launch or introduction of the V112, does that make you more comfortable moving closer to the 9 gigawatt, compared to what you were a couple weeks back? Then the second one, on the supply chain, you say prices are starting to increase. Is that because some of your competitors are buying for inventory? Or is that because of bottlenecks are slowly starting to come back into the industry?
Ditlev Engel: The expectations are 8 to 9, and but of course I would say the fact that the EDPR order is signed obviously helps getting through the 8 to 9 but when we mention this already back that we were expecting this, we said at the time it will be about as also about the new products coming in and of course the V112 is going to be important also to get to the 8 to 9. Concerning the raw material cost. Basically, we don’t see this, let's say, as a shortage of components in the market but more as a consequence of the general material cost expected to go up and you will probably have as a good view on this as we have on how this is going to impact us but at least that’s a trend we are seeing. Then I think talking about, let's say, the overall component situation. The fact that, as was mentioned, in the region, for the region that we have ramped in China to secure the supply chain there, the fact that we are doing here in United States getting new suppliers to invest in United States, that we are bringing suppliers, bringing a new suppliers based on the U.S. op means that we’ll have a much better, let's say, possibilities going forward and we had just a few years ago when everything was based out of Europe. So we are pleased to see the commitment from the suppliers because that’s going to ensure our competitiveness but also that we are not going to hopefully end up some of the bottle mix that we was talking about some years ago. With this let's turn to the telephone.
Operator: (Operator Instructions) Peter Rothausen from Danske Markets is online with the question.
Peter Rothausen - Danske Markets: Thank you very much. Two questions, I'll take them one by one. The first question, on the V112 scaling up of volume and your higher CapEx expectations. Does this reflect that you plan to bring on more capacity or is it a reflection that you put in more prototypes or a serial series into the market? Maybe you could comment a bit on that. I don't fully understand the connection. That's the first question.
Ditlev Engel: Some of the present facilities that we are talking about here in the ramping up are therefore going to be, let's say, converted. Meaning that, we will in some of the plants take out some of the existing capacity for some of the other platforms and convert this in to the new platform. Its clear that building, for instance, new blades of a completely different size and magnitude means that we have to invest in doing them and what we are just saying is that we are now, let's say, preparing and fast ramp off of the manufacturing of this type of platform. So that would be obviously in the planning also as a consequence where we are swapping between this. We do not expect to see new factories as such being build up but the rebuilding some of the existing plan to cater for this.
Peter Rothausen - Danske Markets: So does that mean that your 10 gigawatt capacity is actually is going up with this rescaling of turbine models?
Ditlev Engel: Well, you can of course say that the like for like if you use to make plates for 2 megawatt machine and you now make it for 3 megawatt you will everything equal obviously get more megawatts but I can’t give you any exact figure of how much that will mean.
Peter Rothausen - Danske Markets: Okay. The second question, on the U.S. market. I know you mentioned that oil is going to three-digit levels or going up, anyway. But we have seen decoupling versus gas prices. Gas prices are the key denominator for new installations and the competitor versus wind in the U.S. market, as I see it. Why are you so confident of this pickup in the US market when the competitiveness seems to disfavor wind as it looks like right now, on the gas side?
Ditlev Engel: I think we have to be a little hesitant in just talking about the market in general and basically what we have experienced. I can only talk about what we have experienced. What we have experienced is a much bigger interest in to the U.S. than we experienced a while back. When we said that we will the complete the factories and we will wait to ramp them up depending on the sentiment in the market as was previously mentioned, then the sentiment that we are seeing now towards the activities that we are involved in requires that we do start to ramp them up now. Therefore you are right obviously that there are some issues concerning the gas price level. On the other hand we are also seeing certain states pushing their renewal portfolio standards further in hit and we would like to see a further ramping up of this type of energy in number of states, irrespectively of the development of the fodder fuel prices. Then obviously you have to add in to this, which of course is difficult to know whether we will get a renewable energy standard or not, but we are seeing a huge interest in to developing this type of energy in United States despite the development we have seen short term on the gas prices. I think however that there is an agreement that when you look ahead in the coming years, which of course it’s important to remember not just the short term that we should expect also for gas prices that they will go up again.
Operator: Arnaud Brossard, Exane BNP is online with a question.
Arnaud Brossard - Exane BNP: Hello, two questions, in fact. First, about your backlog. Today could you tell us what proportion is for 2010?
Ditlev Engel: We have not listed that as we have never done before. So no, we don’t mention them.
Arnaud Brossard - Exane BNP: Okay. So let's move on to my second question, then, about the V112. Could you tell us to what extent the faster introduction reflects some kind of phasing out of the V90?
Ditlev Engel: For the V90 platform in general on the 2 megawatt, there is no plans whatsoever to phase that out, as it depends also on what wind machines we are talking about and what kind of sites, whether or not the V90 or the V112 would be the best pick, but it is clear that in the coming years, we will probably see this but the V90 still is going to remain a very important and competitive platform for us in the coming years. So we are not talking about taking the V90 off the market in any way.
Arnaud Brossard - Exane BNP: Since you couldn't answer my first question, maybe I can add one more about raw material risks? Could you tell us how much you expect this effect could be? The timing of the effect?
Ditlev Engel: I think it's really not that Vestas has a crystal ball here which is any different from the rest of the world on the materials and these developments. We obviously monitor this very closely. We just highlighted that what we are seeing. But sentiments could change in the market again. But we are just reflecting what we have seen. So, as I said, other views will be as relevant as ours on how we see this material develop , but it's just important to be aware off when we are looking ahead and this is why we are highlighting today and I actually do think I understood your first question. I just didn’t want to answer it.
Operator: Alastair Bishop from Piper Jaffray is online with a question.
Alastair Bishop - Piper Jaffray: Yes, two questions from me, too. Just a follow-up to the last question on the V90. You explicitly stated that you weren't planning to phase out the 2 megawatt V90. What about the 3 megawatt V90, would be the first question? Secondly, the V112, you're mentioning that the feedback from clients is extremely positive. Could you maybe give us a little bit more detail as to what level of information you've given them that's creating that excitement, maybe, for instance, assuming a typical medium wind-speed site, how much greater output can you get from the V112 than your existing platform on a per-megawatt basis? Thanks.
Ditlev Engel: Well, I think you should join us in Colorado on the first and second of September because there you will get a lot of information about the competitiveness of the platform. So I don’t think there is something we want to share here in this webcast about those issues but it is clear that when we say, released for sale, basically means that this is when we are ready to sign also legally commit ourselves. But of course you don’t sell these kind of projects just overnight. It is something obviously that you are working on for a while but of course there is a difference between when you are ready to also legally commit through this and this is what we talk about when we say, released for sale, i.e. that we are then ready to also undertake the legal commitments for this platform. Talking about the V93. I would say, the V93 is obviously a class 1 machine, high-wind and therefore will not come in to jeopardy on the V112 but since the V112 is also being released for off shore, I think it's clear that the number of projects for V93's off shore is going to be very fairly limited as the V112 will take over off shore.
Operator: Brian Gamble from Simmons is online with a question.
Brian Gamble - Simmons & Co.: Yes, good morning. First question, I just wanted to touch a little bit on the US market. Ditlev, are you seeing an increase in competition level from some of the Chinese manufacturers? I know that over the last few years they have really worked on benefiting in their own markets. Have you seen them try to get into other markets around the world, U.S. or Europe? Then secondly, I wondered if you might be able to walk through just an overview on your view on the offshore, when thinking about a geared versus a gearless machine. Thanks.
Ditlev Engel: We have a lot of competition in Chinese with our Chinese colleagues in the industry and as could be seen in the number one, two and three spot now all being dominated by Chinese players. So I would say we definitely have our hands full when it comes through to the competition in China. When we talk about the competition outside China from Chinese competitors I would say we haven't really seen this on a larger scale in any way. I know and I have heard of the few projects in the U.S. where this has been discussed but we haven't seen it on a bigger scale. It will probably happen. I am sure about that but irrespectively I think it’s important to say that when we put up our facilities in the U.S., a few years ago, and decided to do that we made a very important calculation which basically is China cost plus rate. Meaning that by deploying this amount of capital in to the United States with this insure that Vestas would be cheaper in manufacturing in the US versus what it costs to manufacture in China and ship it across the ocean. So, we feel that when it comes to and then I take away maybe the products and the services, but just looking at the pure cost, our view is that the setup that we have in Colorado today. Also the ways its been constructed as we look forward to show in early September definitely means that we can meet should that be the future let say competitive angle can be that. So, I think that’s important to aware of. Concerning the offshore and we have obviously V112 machine is with gearbox. So, therefore V112 offshore is with this and on the 6 megawatt platform we have at this stage no additional comments to this.
Operator: Allen Wells from Morgan Stanley is online with the question.
Allen Wells - Morgan Stanley: Hi, good morning, Ditlev. Allen Wells from Morgan Stanley. Three quick questions, if I may. Firstly back on to the US and the comfort that you have on the growth in that market and specifically if you could maybe provide us with some details in where this is coming from and particularly who you're talking to? Is it utilities or some of the IPPs that are potentially coming back to the market? What's driving this renewed interest and maybe potentially what's slowing some of these orders coming through, bearing in mind, although it's picked up, we have only seen 250 megawatts of US orders outside of that EDPR deal with the US market. A second question, just on raw materials as well. You've highlighted some of the potential issues with rising raw material costs, but I wonder if you could say some comments on how you are looking to mitigate the risk here specifically as you're signing longer-term deals with the likes of EDPR is there indexation in these types of deals or will you be looking to hedge or lock in some of your component costs ahead of time? Thirdly, just on the CapEx side, particularly on the increase that you've made of 400 million, would you, perhaps, be able to provide some sort of guidance or breakdown of how this is split between the new service and maintenance unit in the U.S. and the capacity expansion for the acceleration of the V112? Thank you.
Ditlev Engel: Yes. Starting with the U.S. market, then people that are watching this, I am sure, especially and the analyst can remember when we talk about what kind of contracts we had under review last year. Something that we, for many reasons, have given up to talk about. But it’s clear that many of the projects that we are now discussing in the U.S. are not necessarily new projects. These projects that there has been there for a while that people have been, let's say holding back on in order to wait to see how things were involving in terms of the market. Therefore I would say, the confidence in the U.S. market comes not necessarily from that we are seeing just a lot of new things happening. We are seeing a lot of the things that we have been aware of, that we have been engaged in are now starting to firming up. I think that’s important to recognize. Concerning the raw materials, you are absolutely right that the more, the kind of deals that, for instance, we made with EDPR, the better positions we can take ourselves in order to mitigate this and I think also in order to support the clients and thereby the cost of energy. Another reason why it is important to have this longer term view to mitigate this kind of risk. So this is obviously what we are doing. Concerning the CapEx, we don’t want to split them up but it is clear that the V112 ramp up is by far the largest chunk of the investments.
Operator: Martin Prozesky from Bernstein is online with a question.
Martin Prozesky - Bernstein: Good afternoon and two questions, please. The first is in terms of the free cash flow outlook for Q2 and Q3. I mean, Q1 was one of the worst free cash flow quarters we've seen. The combination of the low sales and increasing working capital but given that capacity utilization remains very low and you said you focus of ramping in the quarter, but given that the order inflow in Q1 and in the beginning of Q2 was, especially in Q1, very back-end-loaded, it doesn't seem logical to expect big sales increases in Q2 may be in Q3 but in Q2 can you just give us a sense of how you think about free cash flow and cash you need for the next two quarters? Then the second question, a much more long-term question on China. Your previous position on China was that China was a very pricing-driven market with turbines. I think you said were sold by weight, not by value. I mean, it's a 1 megawatt market or below. What has changed there in terms of conditions that makes you so confident? Are you still the number four in the market?
Ditlev Engel: Well, let's start with China. I think it's again important to say that I think basically, what we have done is that we have stuck to our strategy about the value that we know that we can deliver. In terms of business case certainty also to the Chinese market and the lowest cost of energy, if something really has changed I would say it is the fact that our customers are seeing that the value proposition we have also in China means that it is may be better to pay more up front than it is to pay less in the beginning i.e. that the business case certainly you get from Vestas technology and Vestas products is actually a better deal for them and therefore coming back to what I think also I’ve previously said about this is that no, we did not want to go down at the level that we saw in the market in order to try to be line-for-line competitive in terms of value as we believe that Vestas products had a different value proposition and I think basically what we are seeing is, this is being recognized, it's also clear as we have progressed on our supply chain development in China, that this is also again ensuring our competitiveness. Meaning that we today have a truly Chinese set up again thereby ensuring that our cost base is of course tom-tom with our local competitors in that part of the world. Concerning the cash and the free cash flow, there is no, changes in terms of the need for cash, as we see it, and its clear that I think we also mentioned when we gave the guidance for 2010, that we would see not only a 2010 that was heavily backend loaded, but also a 2010 where the net working capital will have significant variations over the years and basically with the 21% that we are coming out here of net working capital is exactly just a consequence of this and therefore I would say, when you basically have had so little activity as we have had in the first quarter, personally, I am not surprised that we are at this, obviously also has a negative impact on the cash flow, but again this is something that we have taken in our planning and expectations for the year.
Martin Prozesky - Sanford C. Bernstein: Just to follow up on that, do you think that utilization will improve quite a lot in Q2 and Q3 or really in Q3 only?
Ditlev Engel: Well, we have said they will be heavily, backend loaded and obviously we will see the year, sort of, increasing, going up again and that of course, in all aspects on the P&L and cash etc, will therefore obviously be pointing in the right direction, but again the volatility as mentioned in 2010, will be large, simply due to the fact of all the things that that did not happen in 2009.
Operator: Christian Nagstrup from Jyske Bank is online with question.
Christian Nagstrup - Jyske Bank: Christian Nagstrup from Jyske Bank. Two questions, one on China, one on the US. If we start with China, could you please remind us what your production capacity is?
Ditlev Engel: We have not mentioned this, but we have 3000 colleagues in China and we have 4000 colleagues in the US.
Christian Nagstrup - Jyske Bank: So you can do some math out of that. Then on the US, you have currently two orders that you got in 2009 with 2011 delivery and then maybe some from EDPR. Why are you starting up now? Is it some of the existing projects from years ago, are they going to be delivered in 2010 or is this just a long startup time.
Ditlev Engel: It’s clear that the fact that we in 2009 saw zero orders in the US obviously was for many reasons very frustrating and disappointing. Basically obviously what we are seeing now is that the orders will start to flow again and that is of course for delivery both in this year, but also going forward on the order intake and of course it takes some time to ramp up new facilities. The latest of the plant will be ready in May full construction and of course it is also takes sometime to employ an additional 2000 people in order to go through that process. So, of course there is some time delay here, but in order to capture the deliveries that we expect for 2010, we have to get started now in order to be able to do so and also beyond 2010.
Operator: Catharina Saponar from Nomura is online with a question.
Catharina Saponar - Nomura: Yes, thank you very much for taking my question. My first question is similar to the topic that's already been mentioned on the skewing within the year. I was wondering when you came up with your guidance, have you contemplated the possibility of actually being loss-making in the early part of this year? Can you, maybe, if I phrase it in a different way, what level of activity of megawatts sold or what uplift from the current deliveries of megawatts would you actually need in the next couple of quarters in order to return to profitability? Can you give us some idea of what your fixed cost block is just so we can gauge how long it'll take you, in the next couple of quarters, to return to profitability, at least on an EBIT level? I guess, again, so that comes back to what level of order realization and megawatts delivered you're going to need. I'd also be happy with an answer that contrasts current levels of capacity utilization, ideally by region, especially U.S. and China, where is the current capacity utilization and where does it need to go to in the next couple of quarters in order to return you into the black? Yes, so those are my questions for now.
Ditlev Engel: Okay. I think the fact that we already, in October last year, made it very clear that 2010 would be heavily backend loaded, both in terms of revenues and earnings is the closest that we normally get in a guiding not just on the year but actually a lot more on where do we see the development as the year progresses I mean we do not give guidance on a quarterly basis but we give updates on a quarterly basis and we are not changing our full year expectations for 2010. On the other hand we are not starting to give guidance on how do we see the profitability development in Q2 and Q3 and so far and so on. I have also on previous occasions mentioned that it of course when you make a snap shot on the 31st of March it is of course also very depending on where each of the projects? What can be recognized as revenue? What cannot be recognized before we get a full view over exactly how we will stand after the first three months? We tend obviously to look at this on a whole year basis and but it is frankly for us difficult to say exactly how this is going to end up in that specific order. So, I guess what we basically are just turning back to is, lets look at the full year because that’s where I think it makes more sense to look at because there will always be variations between the quarters and I think if you look at where we were in Q4 2009 in terms of earnings and revenues compared to where we are here now in Q1, I mean huge variations and this was basically what we wanted to make sure people were aware off. So I think again we have also mentioned where the orders are expected to come from, half from Europe, 30% from Americas, 20% from Asia-Pacific I think that will give you the best or can at least on how we expect to see the development also on a regional basis. But I think that’s a close as we can get to that.
Operator: Robert Clover from HSBC is online with the question.
Robert Clover - HSBC: A couple of follow-up questions, please, one on order flow and the second on the sort of regulatory framework in the US and Europe. I'm just wondering, firstly, on orders if you're prepared to give us an indication of how the 8 to 9 gigawatts of potential this been topped up by new negotiations, obviously now that you've had a very strong month or two of order flow? Then secondly, on the regulatory side of things, I wondered if you'd be prepared to make some comments on how you see European tariffs developing, obviously, particularly in the light of some countries being somewhat financially challenged at the moment and if you have any views on the Spanish market, in particular? Then also whether you had a view on whether or not the Treasury grant program will be extended in the US. I mean, clearly, the long-term framework with the Lieberman-Kerry-Graham bill looks a bit difficult, but do you think there might be some short-term stimulus extensions? Thank you.
Ditlev Engel: Let's start with the regulatory issues. As I mentioned in the presentation we will focus at the next quarterly report on Europe because this means that we’ll have a much better visibility on what has happened in terms of the 20-20 aspirations in the EU. It’s clear obviously that what happened last year in Spain where the market was put to a stand-still. That obviously was one of the other challenges that we got in the year 2009. However, the European competitiveness of our industry is exactly as the same as what we saw and just trust up on earlier concerning the US. It is possible to produce and be competitive by making our types of products in Europe for Europe. So therefore I believe that when we talk about the job creation, reduction of CO2 that this industry is one of the solutions to some of the challenges that we are seeing at the moment in some of the euro countries to see the economy progress. We have a lot of people employed in Spain. We have sub-suppliers there as we have in many other EU countries and to make sure that this keep on progressing. We for sure help not just domestic economy, but it will also definitely help on the future energy and co2 challenges. So, we sincerely hope and expect and that is embedded in this forecast that the EU targets will stand for all of the member states, but of course we can not know for certain until we have seen this being confirmed here over the summer. Concerning the situation in the US, I think I have commented already I can’t say a much more on how this will develop. I can say, however, that if I look at the commitment to the clean take development by the administration I think that gives good reasons and hope to believe that we will see a strong focus on a clean energy agenda for the US and the support for this is not just on the renewable and the climate issue, but also very much to make sure that a domestic fuel is being developed and of course will the wind resource in US that again will also make a lot of sense and therefore we are hopeful that this will be seen from various important perspectives in ramping this up. Then you had a question on the order intake. We have not given any guidance apart from 8 to 9, but not for the timing of the order intake, but then I would say we normally I think re reporting them either through press releases some of them are some target exchange announcement. So, I think we will just have to stay tuned there.
Operator: Didier Laurens from Societe Generale is online with the question.
Didier Laurens - Societe Generale: Didier Laurens from Societe Generale. On the EDPR deal, I don't want any more clarity on the deal, but it appears to me that it's a kind of change in strategy as you were not very keen to sign large framework agreements, especially with huge flexibility on it. If I remember well, you were more keen to sign project-by-project contracts. So how could we see your strategy, going forward, with these kind of big deals? Could we expect more deals of this kind to be announced in the future? That's my first question.
Ditlev Engel: I think we have always been willing to talk about big deals if it were deals which were firm, i.e. there was something where there was a much clear line of sight of what we had to do and what our clients had to do. The fact that we now have, as I said in the beginning, on products and presence, the fact that we are now capable of meeting these requirements faster and swifter than ever before, obviously increases our competitiveness in terms of meeting the flexibility demands that the clients have. Therefore, I would say its two issues that you are touching upon. I don’t think there is a change in strategy when it comes to enter into agreements where it's clearly what is firm and what is non-firm. I mean, we have 1,500 firm and we have an option of 600. So it's clear, it is a 1,500 deal and we will see whether or they will take the option. Instead of what previously the industry has been referred to as a framework agreement where, in our view, if it was not clear, what was let's say firm then we would be hesitant on commenting on this. So I don’t think this is change in strategy there but you are right. But thanks to the global setup that we have now, it gives us a better competitiveness to meet these kind of requirements. So I don’t think that's really a change of strategy but its something that we have been working on all the time when we went for the 10,000 megawatt ramp up that we will be able to cater for everybody, irrespective of where in the planet it was.
Didier Laurens - Societe Generale: The second question is about your confidence on the U.S. market. Because the same day you announced the deal with EDPR, EDP announced the postponement of CapEx in the U.S. and yesterday FPL also announced some delays in CapEx because of uncertainty on the U.S. market. It seems to me, also, that there is a lot of rumors. I'm not in New York, but I think there is a lot of rumors regarding postponements of the start of building dates beyond the December 31, to benefit the cash bump in the U.S. So I just want to better understand how could that affect your goal of 8 to 9 gigawatt order intake, which I assume is somewhere dependent on the U.S. reopening markets?
Ditlev Engel: It's clear that as I said the American’s regions, which of course includes the U.S. constitutes 30% and we are therefore of course dependent on that that will pick up. But again the issues that we talk about here is something that we have been involved in for a while. It's difficult for me to comment about what other people are doing or not doing. We obviously base this up on how we see the contracts that we are involved and the customers we involved and the aspirations that they have and it's based up on this that we have decided to ramp this up now and this is the reason for it. I think it's also important to say that we also need to think which is just not just a 2010 issue the fact that we are ramping up now is of course also a commitment towards '11 and so forth, and now we think it’s the right time to do it in order to cater for the market. So I can only share with you what we see. What other people are then committing on its hard to me to relate to.
Operator: Patrik Setterberg from Nordea is on line with a question.
Patrik Setterberg - Nordea: Yes, hello I have two questions. The first one is, or the both of them is relating to the V112 turbine. It seems like the customer is very excited by this new turbine, but what is the bank saying? Is this proven technology for them and will it be difficult for the clients to get funding for these projects, consisting the new turbine? That is the first question.
Ditlev Engel: It's clear that for those of who have visited our facilities in Denmark, our new technology facilities, our testing facilities and so on, that the release of this platform is on a level that we have never done before, in terms of making sure that it is of proven technology. Therefore the way that the machine is been done is not just of putting it together and then switching it on. It's a parts approval process that has been running, i.e. there are lot of testing and verification have been done in done prior to that. This means that when we are going to put pen to the paper in August, hopefully, that we have all the verification and documentation in place which obviously will be required by the financing institutions in order to make sure that they have the necessary comfort to release this that it is actually even though it's a new platform it is already pretty well tested s throughout.
Patrik Setterberg - Nordea: Okay. My second question, if I remember correctly, you have earlier stated that offshore version of the V112 turbine was not supposed to have the same release for sale data as the onshore model. Is this correct or have I misunderstood the information?
Ditlev Engel: I don’t know what you have misunderstood because as far as I know we haven’t given any specific date, when each of them was going to be released at least not onshore, but the fact that we are releasing it now for offshore I think it just illustration of what I said before concerning the proven technology.
Operator: Mark Freshney from Credit Suisse online with a question.
Mark Freshney - Credit Suisse: I just have two quick questions. Firstly, on the CapEx plan, I think the big part, where you deviated from guidance or revised guidance today is on the €400 million you're spending, much of it molds for the new blades. How much more of this if you like upgrade CapEx is there to come over coming years? My second question is just we've seen a little bit of concern in the market and the Spanish press on subsidies in Spain over recent days. What are your views on that and regulatory risk, where wind does get support through extra subsidies rather than through a higher carbon price?
Ditlev Engel: I think we already commented on the EU and the Spanish issues and those of subsidies we will have to wait and see what is being decided not just for Spain, but for all of the EU members before we can frame an opinion of this. I’m just saying that if look at the benefit that countries are getting out of installing this is very attractive not at least for a country like Spain, which obviously is major player in the wind sector. Concerning the CapEx, I’d say that we re not guiding on future CapEx. What we expect for '11 we will talk about when we get to Q3 here in the 2010. But it is clear that this industry is a capital extensive industry and if you just look for instance in China, where we decided to build a foundry as well in order to make sure that we have the right quality in place. Obviously is very expensive. On the other hand, it also means that in our view that the barriers to entry into the industry are pretty high because you will need to have so many things in place, both from a CapEx point of view, but also from a people and competence point of view that were the road map and that we have also on the presence of our facilities. Yes, it cost a lot of money to install, but on the other hand, it also means that once we are there, we are of course in a better position to remain competitive. So, what we will do in the future, CapEx? I’m sure we will still keep on investing in the years to come, but on what’s level, we will have to take on a year-to-year basis.
Operator: Tom Gibney from Credit Suisse is online with a question.
Tom Gibney - Credit Suisse: Just one question on your M&A strategy. Obviously, you did the rights issue last year supposedly earmarked for M&A. Do you still see opportunities to invest to buy companies in the technology industry?
Ditlev Engel: I mean the radar keeps running. So, yes, but you are right. Nothing has been announced.
Operator: Archie Fraser from Redburn is online with the question.
Archie Fraser - Redburn: Just one question remaining. Going back to the subject of raw materials, you said in the announcement today as a general rule Vestas' contracts take such price increases into account. Can you give us an idea of the proportion of your contracts, which typically have a throughput mechanism on raw materials like that and the proportion which do not? Can you also give us an idea of the time lag between a move in a commodity price and that move actually affecting your profit and loss accounting?
Ditlev Engel: When we make our estimations for the year, we put in obviously what we know and what we have taken positions on is what we put in our expectations for instance the year 2010. I think that’s the best way we can possibly do it. It is again as I said previously it is entirely up to also what the rest of the world is going to do and how this impact is going to be and as we have said also in the past it is for our benefit as it is for our customers benefits that the more visibility we get on this and a clear view on how to split the bill if that is necessary is for mutual benefit and to take the positions. We have not and will not comment on exactly how this has been done contract-by-contract, but it is something that obviously is an important point every time that you are negotiating a new deal. So, again we don’t expect this to have impact for the year 2010, but we just want you to be aware off that we are seeing some movement here specifically that maybe we are right, maybe we are wrong, but at least something what we have seen.
Unidentified Analyst: Thank you.
Ditlev Engel: I think we will have the last question before we close.
Operator: Daniel Patterson from SEB Enskilda in online with the question.
Daniel Patterson - SEB Enskilda: Just two quick questions. First of all, just to clarify, you say in China that the capacity is now reserved for Chinese demand. I just wondered, does that mean that the capacity is fully booked or simply that you do not expect to export from China?
Ditlev Engel: It means that we do not expect to export any thing out of China for the year 2010, but all for domestic consumption.
Daniel Patterson - SEB Enskilda: Excellent! Then the final question, on service, we haven't talked about that at all, in the quarter it actually grew a very solid 30% year-on-year. What's really the key driver behind this? Is it installed turbines coming off warranty or what's driving service revenue?
Ditlev Engel: Its clear that the wish of our customers to make sure that we provide the business case certainty and thereby also guarantee their output and yield has increased the interest of the very service offerings that we have and you can obviously have a full package service solution, where Vestas has basically undertaking everything and you can have a more lighter version. But the interest in keeping which of course is the key issue for our customers to keep the fleet running 24X7 is obviously not just a question of the service people, but its also a question of making sure that Vestas can supported and forecast what is going to happen. So, I would say the capabilities of Vestas as an organization to forecast and plan and support is part of what is driving this development in service and our expectation is that we will keep on seeing the service business developed and no, we have not talked about it. You are the first one, who asked this about it, but it’s clear that we still see that service is having a good progress and that we expect that this will continue years to come and the reason why we have decided to set off this maintenance center and service center in Colorado. So, we can fast and efficient also service the fleet and the technology ourselves in the best possible way for the benefit of the clients.